Tommy Oliver: The host is recording this meeting. Line muted. Press pound pound one or hash hash one to speak. Good morning. Thank you for joining us as we discuss RGC Resources, Inc. 2025 first quarter results. I am Tommy Oliver, Senior Vice President, Regulatory and External Affairs for RGC Resources, Inc. I am joined this morning by Paul Nester, our President and CEO, and Tim Mulvaney, our VP, Treasurer, and Chief Financial Officer. Before we get started, I want to review a few administrative items. First, we have muted all lines and asked that all participants remain muted. Second, the link to today's presentation is available on the Investor and Financial Information page of our website, which can be found at rgcresources.com. And lastly, at the conclusion of the presentation and our remarks, we will take questions. Turning to slide one, this presentation contains forecasts and projections. Slide one has information about risks and uncertainty, including forward-looking statements, that should be understood in the context of our public filings. Slide two contains our agenda. During our presentation, we will discuss our operational and financial highlights for the first quarter of our 2025 fiscal year. We will then review our outlook for the rest of the 2025 fiscal year, with time allotted for questions at the end. Now, let's turn to slide three. Main extensions and renewal activity in the first quarter of fiscal 2025 were strong. We installed 1.1 main miles and connected 197 new services. This is compared to 185 new services in the first quarter of the 2024 fiscal year. In addition, we renewed 65 services during our first quarter of the 2025 fiscal year. We believe this is evidence of our continued investment in our system to enhance safety and reliability for our customers. Slide four shows our delivered gas volumes for the quarter. Total volumes were up 16% compared to the first quarter of 2024, as one transportation customer with the ability to switch fuels increased its consumption of natural gas. Residential and small commercial volumes were up 4% as well, due to a 10% increase in heating degree days compared to quarter one of fiscal 2024. Slide five shows CapEx for the first quarter of fiscal 2025 compared to 2024. Total spending was $5.7 million in the current year, up 8.4% over the same period a year ago. Good weather for most of the quarter enabled strong progress on mains and services. I will now turn it over to Tim Mulvaney, our CFO, to review our financial results for the quarter. Tim?
Tim Mulvaney: Thank you, Tommy. Moving to slide six. We had a good quarter with increased Roanoke Gas margins due to higher rates, which went into effect this past July, overcoming lower equity earnings from our unconsolidated affiliate and higher interest expense. Net income of $5.3 million or $0.51 per share compared to net income in the same quarter a year ago of $5 million or $0.50 per share. Equity in earnings of unconsolidated affiliates was $854,000 pre-tax, which reflects our share of MVP's results compared to $1.5 million in the same quarter a year ago. Our share of the results in fiscal 2024 was entirely due to AFUDC during the construction phase compared to the current year, which reflected the operation of the pipeline. This apples-to-oranges comparison will persist for two more quarters. As we noted on the last call, we received our first cash distribution from MVP of approximately $800,000 in October, and we recently received our next quarterly distribution. Interest expense was $143,000 higher compared to the same quarter a year ago, due to higher average balance on the Roanoke Gas line of credit and higher interest rates on the midstream debt, which was refinanced a year ago. As a final note, the current portion of our long-term debt is $26.2 million at December 31, 2025, primarily due to a $25 million non-revolving line related to RGC Midstream. We have already initiated conversations with our lenders and others. Those conversations have been positive, and we fully expect to have refinanced this note prior to its maturity on December 31, 2025. We also fully expect to renew our Roanoke Gas line of credit next month. Paul will share comments regarding our expectations for 2025, including our growth capital and EPS. We will then take your questions. I will now pass the presentation to RGC's CEO, Paul Nester.
Paul Nester: Thank you, Tim, and good morning, everyone. It's a snowy wintery morning here in Southwest Virginia today. As Tim and Tommy have reviewed, we have had an excellent first quarter. The first quarter started off very warm, in fact, and ended very cold and continued to be cold through the month of January. We'll talk about this in a minute, but we look forward to sharing some exciting volume delivery and other statistics related to January in the second quarter.  But, again, looking back on the first quarter, Tommy mentioned our large transportation customer who had incredible volume growth year over year. That customer does have the ability to switch fuels, but it's our understanding that they will continue to use natural gas in the near term, certainly in the second fiscal quarter and third fiscal quarter. Housing growth has been steady and maybe even strong in the region. There continue to be new neighborhoods either breaking ground or moving from planning to construction stage. That's going to continue to allow us to have new main extensions and, of course, ultimately new service connections. We are still working on expanding in Franklin County. We talked about that on the year-end call just a couple of months ago. That hasn't moved really fast due to the winter weather over the last sixty days. Certainly, as we start to come out of winter and into the construction season, we expect to have more progress there, and we'll see that in our capital forecast in just a minute. Speaking of the capital forecast, we are on slide eight. Our total year capital spending remains at $21.6 million just as we announced in December. We may change some of the capital mix, if you will, between the categories as we adjust and the conditions for the end of the fiscal year. But again, we still think we're going to be in the $21.5 to $22 million range for fiscal 2025. Moving on to slide nine, the first quarter, as Tim just provided in great detail, is as we expected, and we're happy about that. There certainly is some economic uncertainty today as we've all been following in the popular press, with the recent change in presidential administration that's causing some of us to pause on a few things and to size up what some of this means economically. Certainly, some of the actions being taken may have an inflationary effect, and then it appears that the Federal Reserve is cautious or certainly has a wait-and-see attitude in its approach right now with regard to interest rates. If you look back or think back over the last two years, we, as a company, have addressed inflationary and cost pressures through back-to-back rate cases, and that's helped us be in a position to hopefully manage some of this potential inflationary pressure in fiscal 2025. Tommy, maybe remind those on the call about the timing of the rate cases and how they impact fiscal 2025.
Tommy Oliver: Sure, Paul. But before I do that, maybe give you an update on our rate case. Yesterday, the hearing examiner assigned to our rate case recommended the adoption of the stipulation we reached with staff back in October. So the last step in the process is now for the full commission to issue a final order. But as far as timing goes, unlike a lot of states, Virginia uses a forward-looking test year or a "rate year" as we call it in Virginia. That means adjustments to rate base, revenues, expenses are forecasted into a future period. In our case, the stipulated revenue requirement increase of $4.08 million is based on projections through June 30, 2025. So we believe a lot of the inflationary pressure we experienced and are continuing to experience is captured in those stipulated rates.
Paul Nester: Thank you, Tommy. That is really helpful. Again, as we think about the current fiscal year, we're slowly approaching being halfway complete. So when we look at our earnings per share forecast on slide nine, the $1.18 to $1.25 range, we're still comfortable with that range at this point in time. Certainly, again, as we come out of the second quarter and the bulk of the winter heating season, we should have a finer point on EPS for the year.  I would like to close my remarks before we take questions, just yet again thanking our fantastic employees, and even our customers certainly over this historically cold event, if you will. It hasn't been this cold in our part of Virginia in over ten years, particularly in the month of January. Our system performed magnificently. We didn't have a single customer outage of any kind. We're very, very happy and proud about that, but it takes a lot of work and coordination and a lot of preparation as a matter of fact, and Tim and Tommy have talked about our capital spending as it relates to our renewal efforts to improve and modernize our system to make it safe and reliable, and that has paid off as we've been in these cold weather events. We're just encouraged about the opportunities in the Roanoke region. Again, some of these uncertainties at national and even global levels are real, but this area still seems to be solid and on good footing, and we're excited about the growth opportunities here and how those can benefit our shareholders. We thank you for your interest and support. That does conclude our prepared remarks. If you have any questions, please dial pound pound one to unmute your line. Pound pound one. We'll maybe just wait one more second. Pound pound one to unmute your line. Okay, well, hearing no questions today, this does conclude the first quarter earnings call. Thank you again for taking the time to join us, and we certainly look forward to speaking with you in May to discuss 2025 second quarter results. Thank you, and have a great day, and be safe.